Operator: Good morning and thank you all for patiently holding. I would like to remind all parties that your lines are on a listen-only mode until the question-and-answer segment of today’s conference call. I will now turn the call over to Ms. Martie Zakas. Ma’am, you may begin.
Martie Zakas: Thank you, Laura. Good morning everyone, and thank you for joining us today as we discuss Mueller Water Products results for the 2008 third quarter. We issued our press release reporting earnings for the three months ended June 30, 2008 yesterday afternoon and a copy of it is available on our website. Slides related to this morning’s call are also available on the website to help illustrate the quarter’s results. In addition, we will be filing a copy of this morning’s call’s prepared remarks on Form 8-K. Mueller Water Products had 115.4 million shares outstanding as of June 30, 2008, which is comprised of 85.8 million Series B shares and 29.6 Series A Shares, which are both traded on the New York Stock Exchange. With us on the call this morning are Greg Hyland, our Chairman, President, and CEO; and Evan Hart, our CFO. In our press release and on this call we referenced certain non-GAAP financial measures, which are derived from GAAP financial measures. These non-GAAP measures are provided because they are used as a standard metric by the financial community. We believe these measures will assist in assessing the Company’s underlying performance for the period being reported. There are limitations to these non-GAAP measures, and reconciliations between GAAP and non-GAAP financial measures are included in the supplemental information within our earnings release. On today’s call we will make forward-looking statements in accordance with the Safe Harbor Provision of the Securities Litigation Reform Act of 1995. Remarks containing words such as expect, believe, anticipate, and project, constitute forward-looking statements. They are not guarantees, and such statements involve risks and uncertainties that could cause actual results to differ materially from these statements. Please see our Form 10-K for the fiscal year ended September 30, 2007 and supplemented by our quarterly reports on Form 10-Q for a discussion of these risks. This morning’s call is being recorded and webcast live on the Internet. The archived webcast along with the corresponding slides we are presenting this morning will be available in the Investor Relations section of our website ww.muellerwaterproducts.com for at least 90 days after the presentation. After the prepared remarks we will open the call to questions from our dial-in participants. I’ll now turn the call over to Greg.
Greg Hyland: Thank you, Martie, and good morning everyone. We appreciate you joining us this morning as we discuss our results for the third quarter of fiscal 2008. I will begin today with a brief overview of the quarter. Evan Hart will then follow up with a detailed financial report, after which I will update you on key drivers influencing our business, our outlook for the fourth quarter, and our strategy. We will then open the call up for your questions. Net sales for the 2008 third quarter increased 5.2% to $528.5 Million. Income from operations was $53.6 million, and net income was $20.3 million, or $0.18 per diluted share. The operating income margin was 10.1% and adjusted EBITDA margin was 14.5% for the quarter. During the third quarter we were encouraged by some of what we saw. Notably, steps we have taken resulted in several positives in the quarter. We began to realize the results of our recently announced price increases. We continue to benefit from our aggressive cost reduction actions, and we enhanced free cash flow through our various working capital initiatives. Overall, we were pleased with our third quarter results, but remain cautious about the near term economic environment given the increasing cost of raw materials and the weak residential construction market. I will discuss both of these later in the call. We also experienced a modest increase in year-over-year shipment volumes for the Company as a whole. This is the first quarter in the last six quarters in which shipment volumes have not declined on a year-over-year basis. We believe two primary factors may have contributed to this quarter’s shipments – lower distributor inventory levels, and announced price increases. As we discussed on our last conference call, we believe that distributors may have more tightly managed inventory levels during our second quarter. In our third quarter we entered the construction season and saw an influx of orders in April, which could have been due to lower inventory levels maintained by our distributors. Additionally, during the quarter, distributors may have placed orders in advance of the effective dates of the announced price increases for ductile iron pipes, valves, hydrants, brass service products, and Anvil products. We also saw the continued benefit of the cost reduction and saving initiatives that we have been implementing for the past 24 months. Cash flow remains strong. Net debt declined $130.2 million, or 12% to $954.8 million at June 30, 2008, compared to $1,085 million at June 30, 2007. I will now turn the call over to Evan Hart who will discuss our financial results for the third quarter in more detail.
Evan Hart: Thanks, Greg. I will start by reviewing the consolidated results and then discuss segment performance. Consolidated net sales of $528.5 million in the 2008 third quarter increased $26 million year-over-year due to $17.6 million of higher pricing across all business segments, volume increases at both U.S. Pipe and Anvil, and the $5.7 million favorable impact of Canadian currency exchange rate. Gross profit was $123.4 million in the 2008 third quarter, an increase of $3.9 million compared to $119.5 million in the 2007 third quarter. Gross margin was 23.3% compared to 23.8% in the prior year period. Sales price increases of $17.6 million offset higher cost of raw materials and purchased components of $17.6 million. The increase in gross profit was principally due to cost reductions of $11.5 million and other savings, which more than offset $9.5 million of under-absorbed overhead resulting from lower production levels. Income from operations was $53.6 million compared to $57.4 million in the 2007 third quarter. Third quarter 2008 operating income and adjusted EBITDA margins of 10.1% and 14.5%, respectively, compare with the 2007 third quarter margins of 11.4% and 16.6%, respectively. The margin declines were principally from under-absorbed overhead, higher selling, general, and administrative expenses, and higher raw material cost, partially offset by cost savings. Higher pricing only offset the dollar increase in raw materials, which resulted in lower margins. Selling, general, and administrative expenses were $69.7 million in the 2008 third quarter compared with $62.1 million in the 2007 third quarter. The year-over-year increase is largely attributable to higher sales commissions and distribution cost of $2.9 million and severance and other increased employee related cost of $1.3 million. Also, the 2007 third quarter included a positive adjustment of $1.5 million primarily for employee medical cost trends. Interest expense, net of interest income, declined $5.8 million to $17.5 million in the 2008 third quarter compared to $23.3 million in the 2007 third quarter. Gross interest expense totaled $18.4 million in the 2008 quarter compared with $23.9 million in the prior year quarter. Interest expense in the prior year third quarter included a $1.7 million charge related to an interest rate swap adjustment. Gross and net interest expense were down year-over-year due to lower interest rates and lower average net debt outstanding. Our effective tax rate was 43.8% in the 2008 third quarter compared with 43.5% in the 2007 third quarter. During the quarter we had a discreet net adjustment of approximately $1 million, which increased the provision for income taxes. The largest component resulted from a true-up of consolidated tax return filed by Walter Industries for periods prior to the spin-off of Mueller Water Products in December 2006. As we look forward to the full year, we currently expect the effective tax rate to be 42% to 43% including these items. Net income per diluted share was $0.18 in the 2008 third quarter. This compares with $0.17 in the 2007 third quarter when adjusted to exclude the loss on early extinguishment of debt of $0.18 per share. I will now move on to segment performance. Net sales for the Mueller Co. segment were $203 million in the 2008 third quarter compared to $203.1 million in the prior year quarter. Net sales were essentially flat as sales price increases of $4.8 million and the $2.4 million favorable impact of Canadian currency exchange rates basically offset lower volumes of $7.3 million. Unit shipment volumes of iron gate valves declined 1%, hydrants declined 8%, and brass service products declined 32% in the quarter, primarily due to the soft market associated with the continued downturn in residential construction. Income from operations of $40.4 million and EBITDA of $52.7 million in the 2008 third quarter compared to income from operations of $41.5 million and EBITDA of $54.7 million in the 2007 third quarter. Higher cost of raw materials and purchased components of $5.3 million were partially offset by sales price increases of $4.8 million. Volume declines reduced profits by approximately $2.8 million. Cost reductions of $3.2 million, the favorable impact of Canadian currency exchange rates, and other net savings more than offset the negative impact of under-absorbed overhead and increased SG&A. Net sales in the U.S. Pipe segment of $167.7 million in the 2008 third quarter increased from $153.3 million in the prior year quarter. The increase was due to higher sales prices of $8 million and higher shipment volumes of $6.4 million. In the 2008 third quarter, income from operations was $2.9 million and adjusted EBITDA was $8.5 million. Theses results compare to income from operations of $8.9 million and EBITDA of $15.2 million in the 2007 third quarter. The 2008 third quarter operating income was negatively impacted by $12.2 million of higher raw material cost, partially offset by sales prices of $8 million. Cost reductions of $4.9 million realized during the quarter and higher shipment volumes of $2 million partially offset the negative impact of under-absorbed overhead of $4.5 million, $1.4 million of startup cost associated with the new ductile iron pipe manufacturing facility, and a $3.4 million provision for warranty related expenditures. Net sales in the Anvil segment increased 8% to $157.8 million in the 2008 third quarter compared to $146.1 million in the prior year quarter. The net sales increase was driven by sales price increases of $4.8 million, increased volume of $3.6 million, and the favorable impact of Canadian currency exchange rates of $3.3 million. Both income from operations of $21.9 million and EBITDA of $26.9 million in the 2008 third quarter increased over 2007 third quarter income from operations and EBITDA, which were $17.4 million and $23.2 million, respectively. The increase in the 2008 third quarter operating income was primarily driven by sales price increases of $4.8 million, higher shipment volumes of $1.1 million, and cost reductions, which were partially offset by under-absorbed overhead, higher selling commissions, and ongoing administrative expenses largely associated with the separation of Anvil’s manufacturing and distribution operations in Canada. On a fiscal year-to-date basis, free cash flow, which is cash provided by operating activities less capital expenditures amounted to $45.1 million in 2008. This is comparable to free cash flow for year-to-date fiscal 2007 excluding the impact of debt refinancing. Earlier in the call Greg mentioned the 12% decrease in net debt over the past 12 months. At June 30, 2008, net debt totaled $954.8 million, which is total debt of $1,096.7 million, less cash on hand of $141.9 million. total debt at June 30, 2008 was comprised of our $425 million Senior Subordinated Notes at a fixed rate of 7-3/8%, $141.6 million or Term A debt currently at LIOBR plus 150 basis points, $528.1 million or Term B debt at LIBOR plus 175 basis points, and $2 million of capital leases. During the quarter, we took advantage of the current low interest rate environment to swap portions of our variable LIBOR based debt into fixed LIBOR rates. As a result, 82% of total net outstanding in now fixed rate, and 18% is variable rate. Our fixed rate debt is currently comprised of the $425 million Senior Subordinated Notes and $475 million of term debt. During June, we entered into additional interest rate swap agreements that converted floating rate debt to fixed rate debt. As a result of the new interest rate swaps, at least 70% of our total debt will bear interest at fixed rates through May 2012. The estimated all-in fixed rate on the swap portion of term debt is currently 6.1%. It is expected to remain under 6.8% until the final swap agreements mature in fiscal 2012. Our scheduled principal repayments are minimal over the next three fiscal years with $8.8 million due in fiscal 2009 and $19.5 million due in each of fiscal 2010 and 2011. Our first significant debt repayments of $115.1 million are not scheduled until fiscal 20012 when our Term A debt matures. We are well within our maintenance debt covenants. Our leverage ratio, which is net debt to EBITDA, was 3.5 times at June 30, 2008, well below the current maximize leverage ratio of 5.25 times. This maximize leverage ratio gradually scaled down to 4.5 times in fiscal 2011. Our only other maintenance covenant is interest coverage, which was 3.7 times at June 30, 2008, well above the minimum interest coverage of 2.5 times. We will continue to manage our capital structure and we believe that we have sufficient liquidity through cash on hand, future free cash flow generation, and availability under our credit facility, to meet our foreseeable needs. With that, I will turn the call back over to Greg.
Greg Hyland: Thanks, Evan. As I said in my introduction, we have begun to realize higher pricing across most of our products in connection with the price increases we have implemented since January of 2008. For example, we have realized a cumulative price increase of about 24% on ductile iron pipes since the second quarter. Most of the price increases were realized later in the quarter with more than half of the increase reflected in our July backlog. Within Mueller Co., the average cumulative sales price increases and our backlog were between 12% and 14% for valves and hydrants and the sales price increase was 9% for brass service products. Most of these price increases are reflected in our July backlog. During the third quarter sales price increases just covered our higher raw material cost for the Company as a whole. However, within U.S. Pipe and Mueller Co. we did not cover the higher cost of raw materials with the price increases realized as of June 30th. For U.S. Pipe, even with the price increases we have implemented to-date, we do not expect to cover the higher raw material cost of sales in the fourth quarter. As you know, scrap steel is the largest component of U.S. Pipe’s cost of sales. We anticipate that the cost per ton of scrap that will flow through U.S. Pipe’s income statement in the fourth quarter will be up over 60% from the second quarter. Now, total raw material cost through the first nine months of fiscal 2008 are approximately 47% of U.S. Pipe’s cost of sales versus 33% in fiscal 2007. we have just announced another 10.5% price increase for ductile iron pipe that will be effective August 18th. We do not expect to realize any of the benefits of this price increase until our first quarter 2009. This price increase is needed to ensure that we at least cover higher raw material cost in fiscal 2009. And this of course depends on both the price realization that we achieve in the marketplace as well as the ongoing cost of scrap steel. Within Mueller Co. we believe that the price increases implemented to-date should at least cover our higher raw materials cost in the fourth quarter and could contribute to profits. Anvil price increases more than covered higher raw material cost for the third quarter and we expect this to continue in the fourth quarter. The increased raw material cost for Anvils’s recent purchases remain in inventory because of the phase of inventory turns in this segment. Anvil’s cost of sales should begin to reflect these escalated raw material costs in the first quarter of fiscal 2009 as this inventory is shipped. Other drivers that could impact first [ph] quarter net sales include residential construction, distributors’ buying pattern, and municipal spending. Housing starts were down 30.6% for third quarter of 2008 versus the prior year period. The extent and length of the downturn is still uncertain as is the timing of the eventual recovery of the market. During the last three months the most recent consensus Blue Chip Economic Indicators forecast on housing starts for 2008 dropped again from 980,000 units to 960,000 units. In looking at our shipments and order trends, we believe we are seeing some growth in municipal spending. It is hard, however, to assess if the general uncertainty of the economy will affect municipal spending in the near term. We should note that compared to prior year periods ductile iron pipe quotations for public works in terms of tons were down for the quarter and are down 4% year-to-date. However, we remain confident that the need exists and the long-term prospects for water infrastructure investment by municipalities remains encouraging. As we said earlier, we believe distributors placed orders in the third quarter in advance of the effective date of price increases. Fourth quarter volume is expected to be impacted by the decline in residential construction, and by this full forward of shipments into the third quarter for both U.S. Pipe and Mueller Co. We expect the net effect of lower residential construction, municipal spending levels, and distributor buying patterns to result in a decline in fourth quarter volume, both on a sequential and year-over-year basis. As we previously described, revenues remain strong for our Anvil business. Although there is some question about future level of activity in the commercial construction sector based on where demand for our products falls in the construction cycle, our outlook for this segment remains stable for the remainder of the fiscal year. In addition to the effects of price increases and volume changes, profitability in the fourth quarter will be impacted by the increasing cost of raw material and the benefits from cost saving. The rising costs of raw material continue to be a major variable to our profitability. As I just discussed, scrap in U.S. Pipe’s cost of sales is expected to be up over 60% in the fourth quarter from the second quarter and the price we paid for scrap continues to escalate. In July, U.S. Pipe paid $533 per ton for scrap steel. This is an 8% increase from April and a 134% increase from what we paid in July of 2007 and is greater than the cost of scrap that we expect to be reflected in U.S. Pipe’s cost of sales in the fourth quarter. Mueller Co.’s scarp purchase prices have also increased. On a blended basis, they increased 24% to $699 per ton from April to July. July purchase prices for Mueller Co. for 59% higher than what we paid in July of 2007. Brass ingot increased from $2.64 per pound in January to $3.10 per pound in July, and is essentially flat since April. During the third quarter we achieved $11.5 million of operating cost savings year-over-year, which included savings associated with the closure of the Burlington manufacturing operations, as well as ongoing lean manufacturing efficiencies, and the headcount reductions we mentioned last quarter. As you recall, we had always projected to begin production at our automated ductile iron pipe manufacturing facility late in the first quarter of fiscal 2009. However, we are doing our best to accelerate the startup of the operation. We now expect to produce our first order of ductile iron pipe at this facility by the end of the fourth quarter of fiscal 2008, approximately three months ahead of schedule. We expect to begin to realize the full benefits of the lower cost process in the second half of fiscal 2009 after a period of production startup and the refinement of manufacturing processes. The current market is tough – environment is tough, but our operating teams continue to meet the challenge. We are focused on developing processes that will yield cost reductions and improve efficiency, which will make us that much stronger for the future. One of our primary objective is maintaining strong free cash flow. As Evan discussed earlier, free cash flow in the first nine months of fiscal 2008 was $45.1 million, which is 128% of adjusted net income. We will continue to manage inventory levels and match production with market demand. We will also continue to focus on managing working capital with a significant component of our management incentive programs based on improving working capital. Other key variables for 2008 are corporate spending estimated to be approximately $39 million; our tax rate is expected to be approximately 42% to 43%. We estimate 2008 net interest expense to be within the range of $73 million to $74 million, and we expect capital expenditures to be within the range of $80 million to $85 million. We will continue to evaluate the repayment of debt and repurchase of stock on an ongoing basis, but for now we believe we should preserve the flexibility our current liquidity affords. Given the volatility in today’s economy, we believe this is the most prudent course. To recap, we saw several positives in the third quarter that were a direct result of steps we have taken. We began to realize the results of our recently announced price increases. We continue to benefit from our aggressive cost reduction actions. And we enhanced free cash flow through our various working capital initiatives. We remain cautious about the near-term economic environment given the increasing cost of raw materials and weak residential construction market, but are confident of our ability to manage through these challenging conditions. We will take necessary actions to recover higher raw materials costs and focus on cost reduction initiatives. We also believe the long-terms prospects for the water infrastructure market are good and that we are well positioned to capitalize on growth opportunities. With that, I will open it up for questions.
Operator: Thank you. (Operator instructions) Our first question today comes from Mike Schneider. Sir, your line is open, and please state your company name.
Mike Schneider – Robert W. Baird: Hi, it’s Mike Schneider from Robert W. Baird. Good morning.
Greg Hyland: Good morning, Mike.
Mike Schneider – Robert W. Baird: Greg, maybe first if we can start with just general revenue comments for the second half. Last quarter you had somewhat backed away from this, the market conditions the ability to hold sales flat in the second half versus the first half. This quarter you did show $20 million something increase year-over-year. From that have you revised your thought now on Q4 revenue and – based on the volume declines, would you still expect revenue to be down then?
Greg Hyland: You know, Mike, that’s a good question, and I think after we have seen – after seeing the results of the third quarter I think that right now that we would say that we would – I mean we expect revenues for total Mueller Water Products to be up slightly in the second half and I think what primarily that will be reflected is a comments that I made in our – that I made in our prepared presentation here, is that when we entered the third quarter we saw an uptick in April orders, and we think primarily because our distributors manage their inventories so tightly in Q2 that when we entered the construction season, they had to – I would say almost probably rebalance or increase their inventory levels, so I think what we ended up seeing was in a normal – let’s say normal year for the last several years, orders that we would have seen in Q1, probably in the January timeframe, we saw in April. So I think that probably that will contribute to now slightly higher shipments in the second half versus the – this year versus second half of last year.
Mike Schneider – Robert W. Baird: Okay, and then sticking with U.S. Pipe for a minute, you mentioned that the cumulative price increase now has been 24% in U.S. Pipe, half of which is reflected in the July backlog. I am curious, the last price increase that went into effect or the firs one I guess was January 15th, that was 15%.
Greg Hyland: Yeah.
Mike Schneider – Robert W. Baird: And you had mentioned that that would generally benefit the fiscal third quarter. And if I look at the fiscal third quarter numbers you have disclosed, it looks like there was in U.S. Pipe a 4.7% price benefit. How do we reconcile that 4.7 points with the 15% that was issued back in – on January 15th?
Greg Hyland: You know, Mike, I think you may be looking at that on a year-over-year basis.
Mike Schneider – Robert W. Baird: Yes.
Greg Hyland: Yeah. Actually that if – last July our price per ton, average price per ton and I have the July, but it was around – we were over $900 in the third quarter per ton last year. In January this year that was around $880. So, actually what happened in the – I’d say the last six months or certainly last quarter of our fiscal 2007 and first quarter of 2008, prices actually dropped in the marketplace. So, when you look at our price increase that we announced, 15%, that was on probably, I would say, a price per ton that was already $40 less than what we were seeing the third quarter last year.
Mike Schneider – Robert W. Baird: Okay. So in other words the 4.7 points, would you believe that is almost full realization of the first round of pricing–?
Greg Hyland: Yeah, no, I think that when you look at our shipments in the third quarter that we think what we got probably is total of the – I mentioned that we have about, in our backlog about 24 basis point, or 24 percentage points. I think we got around 10 percentage points in Q3 over our Q2 average selling price. And therefore we think we probably have another 14 percentage points in our backlog that we should see in Q4.
Mike Schneider – Robert W. Baird: And will Q4 then that 14 points, will that fully reflect the 10% price increase that you put into effect on April 25th?
Greg Hyland: Well, you know, when you look at it – if you look at our combined – our combined price increases of the 15% and the 10%, that – we will be at about 90% of those combined – those combined price increases. So if you take the 15 times, another 10, that’s about 26, it’s about a total of 26, between 26% and 27%, we’ll be at 24%. So we are about 90% – we will have about 90% of those combined price increases.
Mike Schneider – Robert W. Baird: Okay. But the – to be clear—
Greg Hyland: In the July backlog.
Mike Schneider – Robert W. Baird: Right. Okay, impressive. And then to be clear because materials have since sequentially risen again, you need this additional 10 points that you are putting into effect August 18th?
Greg Hyland: Yes. We need – as we look at it, we need most of that to be able to recover what’s our raw material cost for U.S. Pipe.
Mike Schneider – Robert W. Baird: Okay. And if you bear with me a moment on margins in U.S. Pipe and you mentioned you go through the under-absorption impact, you go through the net price and cost impact, and if one is about 270 basis points of hit during the quarter, the price-cost gap is 200 points, 200 basis points. So with that, if I add that to this quarter’s margins, assuming again normalized volume, you are at about 7% already. On top of that I am curious, you mentioned in the slides for the first time, that there $1.4 million in startup costs and $3.4 million in warranty costs. Were those included in the – some of the expenses you said in the release or are those separate?
Greg Hyland: They were included in the – they were included in some of the expenses in the release.
Mike Schneider – Robert W. Baird: Okay. So those would be embedded in the under-absorption hit?
Greg Hyland: They will be – they would be – actually, they would be in the – in an area that is not related – we have that not related to production cost savings, but it’s in – it is in other areas. So – but you would see that reflected actually in the margins.
Mike Schneider – Robert W. Baird: Okay. And then those costs, the $1.4 million, when does that amount – where does that amount hit from here and when does it actually go to zero? And then secondly, the warranty expenses, is that a one-time adjustment or is this something that continues?
Greg Hyland: Yeah, we expect the warranty adjustments to – best to our knowledge right now, that’s a one-time. We would expect probably to see similar startup costs in Q4, I mean the cost in Q4 primarily because the – as I said, we expect to ship our first orders in Q4. They will probably – will probably be less than 10,000 tons. So in essence but we have a cost that we are absorbing in the startup of that facility with very little shipment again – shipments against it. When we get to Q1 of fiscal 2009, our shipments then should absorb and more offset that. So I would say it’s still – it’s ahead of us in Q4 and – but – and I would say – well I would expect that we’ll probably see about the same kind of cost hit. You know when we are talking about Pipe, we – as we look at it, we still think we have at least a couple of tough quarters ahead. One, as we have been talking, we have to offset higher raw materials costs, and we have had dramatic increase as we have talked about on the last few calls on the raw material cost, not being able to offset them. And we still have higher cost in inventory that are going to flow through the Pipe P&L in the next several quarters. As I said, raw material costs are now 47% of cost of goods sold, up from 33% in fiscal 2007. We expect that probably by the end of the year that could be 50% of our cost of goods sold just being raw material cost. So you are right. We need that additional 10.5% increase, most of that to offset it. But as we look to the next couple of quarters, I think that we’ll still have some tough quarters at Pipe.
Mike Schneider – Robert W. Baird: Okay, and then final question, I will get back in line, excuse me. The $3.1 million in operating income you reported in Pipe then really if we add back the $3.4 million was more than double what you reported.
Greg Hyland: Looking at a one-time expense, that’s right.
Mike Schneider – Robert W. Baird: So, margins, instead of 1.8 were actually 3.8 or 3.9?
Greg Hyland: You could add at that – adding that way, yes.
Mike Schneider – Robert W. Baird: And you are definitely not whole on raw materials, yet you are still almost near 4%?
Greg Hyland: Yeah, and I think it is – as I just said that raw materials could even be a bigger hit in the fourth quarter primarily because if you look we’ve done a good job of reducing inventory in our U.S. Pipe business and it is not completely reflected when you look on the balance sheet because the higher cost of raw materials that are there, but in terms of tons we have taken our inventory down about 45% the last quarter. As we do that on a – accounting on a FIFO basis the raw material costs, the increase in raw material costs we have seen the last couple of quarters that have been in inventory will flow through in Q4.
Mike Schneider – Robert W. Baird: Okay. Thank you again. I will get back in line.
Greg Hyland: Okay.
Operator: Our next question comes from Keith Hughes. Your line is open, and please state your company name.
Keith Hughes – SunTrust Robinson Humphrey: It’s Keith Hughes, SunTrust Robinson Humphrey. Just want to clarify something from the previous question. Your expectation is the sales in the second half of fiscal ’08 will be slightly ahead of the second half fiscal ’07, is that correct?
Greg Hyland: Yes. That’s right, Keith, on a sales dollar basis.
Keith Hughes – SunTrust Robinson Humphrey: On a sales dollar basis. Okay. And you talked about several things that helped volume in the quarter. Was the pre-buy aspect, was that a bigger impact in the U.S. Pipe segment versus the Mueller segment?
Greg Hyland: It’s tough to say. I think it was a benefit for both. And it’s hard to say which was – certainly with Mueller, with most of our business going through distributors, it’s easier for distributors to bump up and bring orders ahead and they will just bring it into inventory. With Pipe, as we have talked in the past, most of our distributors do not inventory Pipe, but our U.S. Pipe people reported that there were some projects in planning stage or before they actually begun that they were – they brought in the pipe and just put it on the ground.
Keith Hughes – SunTrust Robinson Humphrey: Okay.
Greg Hyland: So, I – it would be hard to say which benefited but certainly both businesses benefit.
Keith Hughes – SunTrust Robinson Humphrey: Okay. You highlighted (inaudible) price increase coming in U.S. Pipe. If there are further increases in scrap steel prices which some fear, that would necessitate more pricing actions, is that correct?
Greg Hyland: For – I am sorry, Keith—
Keith Hughes – SunTrust Robinson Humphrey: Let me ask you this way, the price—
Greg Hyland: For U.S. Pipe and Mueller or?
Keith Hughes – SunTrust Robinson Humphrey: Yeah. I think – I guess that will be right, enterprise. But I guess the point is the price increase that – price increases that are coming in the near term that is still an attempt to catch up with where steel prices are currently, is that correct?
Greg Hyland: Certainly, yes. Certainly for U.S. Pipe, and on Mueller even though we are seeing certainly higher prices of scrap steel, it is raw materials for that business is only running about 11.5% of cost of goods sold. So, that has a much less of an impact as it does on U.S. Pipe, but certainly that’s the case for U.S. Pipe.
Keith Hughes – SunTrust Robinson Humphrey: Okay. And could you remind us again with the new plant coming online little sooner than expected, have you put a number on – an updated number on potential cost savings from the facility once it’s fully in production later in fiscal ’09?
Greg Hyland: Yeah, we have – we said that – there is a three-year payback on that facility, and we have said that facility is – will cost us $45 million to $50 million in capital. As I said, we expect once the three-year payback – so – and right now we would be forecasting that on the tons that we manufacture in that facility we would probably have at least a 15% reduction in our cost per ton. So if you look at it, it’s $45 million to $50 million expense, capital expense, and then probably some of the startup costs to pay back. We are sill confident we will pay back that in three years. So – but as fully operational we would think a $20 million savings per year is certainly what we are targeting.
Keith Hughes – SunTrust Robinson Humphrey: Okay. Final question. On the dual class share structure, any potential changes coming to that in the future?
Greg Hyland: You know, Keith – and a good question. We have talked about this with a number of our investors and our analysts, and the IRS has no hard and fast rules, but generally the – what we have seen that any companies in the past have had this structure it’s – the earliest we have seen anyone collapse these has been 26 months. We will – it will be December we will be 24 months since our spin. So we are certainly getting into the period where we think that it’s very reasonable that we will be able to do this. And we think it’s the – we think that it makes sense. We think our shareholders want it. But certainly to point out that both classes of shareholders have to vote for it. But at the end of this year we will reach that time period that we think is – will give us the flexibility to move forward on this.
Keith Hughes – SunTrust Robinson Humphrey: Alright. Thank you.
Operator: Our next question comes from Kevin Maczka. Your line is open, and please state your company name.
Kevin Maczka – BB&T Capital Markets: Good morning, Kevin Maczka, BB&T Capital Markets.
Greg Hyland: Good morning, Kevin.
Kevin Maczka – BB&T Capital Markets: Just another question on volumes, if I could. You gave some nice color on you Q4 expectations, but I am wondering if you look out beyond that, look at ’09, if you have got a housing environment that’s still weak, a commercial construction market that is okay but slowing, and I think you commented that the muni marketplace you are still seeing some growth there but maybe quotation activity isn’t quite as strong, I guess when you blend all that together, can you give a little bit of color around your expectations for ’09 volumes?
Greg Hyland: Yeah, Kevin, and this is very preliminary. We are still going through putting together our ’09 plan. We have said – always said in the past that on the – in the residential construction market that we are going to lead going down because it’s not the construction of each – of an individual house that really drives demand for our products, it is when the development goes in. And we – though we cannot find specific data that we think is very reasonable to expect that this was the first area that builders cut back and new developers. So I would think when we get in the early – at least by mid-2009 on a comparable basis that it won't drop any further for us. Housing starts, I think we are seeing some forecast that are saying housing starts could still continue to drop in 2009. But we would think when we get into 2009 at least by mid-2009 and perhaps sooner on the residential construction side that on a compare – year-over-year comparison that we won't see any further drops. Commercial construction, again, where we fall in the cycle, I think that certainly as I said on our prepared remarks that the first quarter was stable, I think we probably feel reasonably comfortable to think that our volume will be stable at least through this calendar year. So in – through the first quarter of our 2009, but then we’ll be getting some further insight there. Municipal spending I think is the one variable. We have seen year-to-date some year-over-year growth. Our order trends, our shipment trends would indicate that based on some year-over-year results from the different regions, our different sales regions. In fact, when you – when we look at year-to-date, our orders are actually up in the Mueller business. This is in our Northeast and Central regions on a year-over-year basis. Those are regions that are less driven by – have been less driven by residential construction, more by municipal spending. But we have seen some instances of projects that were budgeted at the municipalities and when the actual costs were coming in or actually quoted that they were so far in excess of what was budgeted that the municipalities have pulled those back. And we are not talking only what’s happened to ductile iron pipe, but just about every commodity that probably is going into that project is up significantly in the last six months due to the inflation we are seeing in so many commodities. We don’t think those will be canceled, but we do think that they will be pulled back as the municipality looks at it’s their budget and how they will fund it. So, looking at 2009, I think we expect at least for half of the year still to see a stable commercial construction market, but we think that we’ll reach a point in 2009 where our comparables from residential construction, that we don’t see any further decline. And municipal spending, I think at this point still remains a variable to be seen.
Kevin Maczka – BB&T Capital Markets: Okay, great, and if I can just ask one more on visibility in general, both on the municipal aide and your business in general, I am sure this pre-buy ahead of the price increases must have caught you somewhat by surprise, and I am just wondering what kind of visibility you have – can you look out a quarter or more or is it more measured in weeks?
Greg Hyland: You know that’s tough to measure. Didn’t catch us too much by surprise because it’s generally that is the pattern, and I think this go around that distributors knew that these price increases were going to stick because of what was happening on commodity pricing. So I think that that certainly contributed. I think maybe in our February price increase that there was still some questions, are these prices going to stick? I think when we got to April and again what was happening to scrap steel and other commodities that they knew that these were necessary. Difficult to say how much was – what was pulled forward. We do get some insight from our July orders. For instance, on our Mueller branded products or valves or hydrants, and our brass products, on a dollar basis, July year-over-year, July orders this year were down about 28% to 29%. And that’s on a higher dollar because our pricing higher now than it was a year ago. Certainly residential construction could have contributed to that. But I think that probably as much as anything was the pull forward from July, August orders into May, late May, early June that was a total of a little over about $10 million to $11 million. And even on the U.S. Pipe side, that if you look at on a July-over-July basis, our tonnage was down about 15%-16%. So, I am sorry, it’s difficult to give an exact dollar number of what was pulled forward, but if you look at the magnitude on a year-over-year basis, our July orders for our Mueller branded products down about $10 million. We’ll probably still see a falloff in August for that – for the pull forward. Hopefully, when we get into September, then we’ll be seeing orders to reflect demand.
Kevin Maczka – BB&T Capital Markets: Okay, Greg, great color. Thank you.
Greg Hyland: Thanks.
Operator: Our next question comes from Seth Weber. Your line is open, and please state your company name.
Seth Weber – Banc of America Securities: Hi, good morning, it’s Banc of America. Greg, just following up on your last comment, can you give us similar color on what – what orders looked like in May and June? I mean sounded like April was real strong, I mean, did the quarter kind of taper down from the strong April, and to May, June, and then July again.
Greg Hyland: We would have seen – we saw a strong April across the U.S. Pipe and Mueller, and then a real jump, Seth, in the – especially in Mueller in the last week in May and the first 10 days in June. And again when you think about it, there are distributors when they pull forward orders, generally that's for products that they don't have an immediate need. So, they wait for that very last possible moment to place the orders in events of a price increase. But certainly May was our largest order month by quite a bit for Mueller. In fact, it was two times greater than –they doubled than what April was from Mueller. So clearly that's the pull forward. And on pipe, it was a little more evenly distributed across the quarters, because the pipe price increase was a little – when you look back a little sooner than the Mueller.
Seth Weber – Banc of America Securities: Okay, Greg, thanks for that.
Greg Hyland: But let me – I'll give you a little more color on the Pipe. Pipe actually was, April and May was the two big orders and it did drop off, but it's quite a bit in June.
Seth Weber – Banc of America Securities: Okay, and then so, just to recall, so you have a 15% price increase on the valves effective June 2 and then 12% on brass, May 1. Can you give us some color as to how much of that you’re actually recognizing. Last quarter you talked about it, you gave us some colors in terms of basis points as a percent to the actual increase.
Greg Hyland: Yeah, if you look at our shipments, and I said in the prepared comments, and if you look at our July backlog for valves and hydrants, we say we probably have a 12 to 14 percentage points. So if you look at it in our combined price increases of a 5% February 1, an additional 15%, we got all – we we're able to achieve all that, our prices would have been up about 21% from the price that we would have had for that product in January. In our backlog it's up about 12, as I said 12% to 14%. Speaking of our valve and hydrants, we probably realized about 4 percentage points, so we still have anywhere from 8 to 10 percentage points benefit in Q4, that's in our backlog. On the brass products, we saw again probably about – of the 12 percentage points, we have a 9 percentage points in our backlog, at which we saw probably about 3 percentage points in Q3. So, we’ll probably have another six percentage points to realize Q4. And hopefully that's clear, because I even get confused going through that, but hopefully that gives a sense?
Seth Weber – Banc of America Securities: Yes. That's helpful. And are your competitors matching these prices or what's the environment look like out there?
Greg Hyland: From what we've seen in the market place, the fact that we were able to realize these price increases, I think it gives us confidence that our competitors are also increasing those prices, and of course, that from a price announcement that we know that the day it was announced, similar price increase.
Seth Weber – Banc of America Securities: Okay, and then lastly, if you could just drill down a little bit on your comment, about the Mueller top line being down – or being up a little bit, year-over-year for the second half. I mean, I get that volumes are under pressure a little bit, but given the price increases, it just seems hard to reconcile and it seems like that number should be a little bit stronger in the fourth quarter than maybe what you're suggesting or am I missing something?
Greg Hyland: I'm sorry Seth, now when you said – you mean, the Mueller segment?
Seth Weber – Banc of America Securities: The Mueller – I thought you said the Mueller segment revenue –
Greg Hyland: I'm sorry, I'm sure Mike Schneider still – I interpreted Mike – Michael Schneider’s question being Mueller Water Products.
Seth Weber – Banc of America Securities: Okay, I'm sorry.
Greg Hyland: Sorry. So I was talking, Mueller Water Products. For Mueller Co., specifically we do look the second half of the year is going to be pretty flat, we think, and because volumes, we're talking about volumes were down in the third quarter on a year-over-year basis, and we do expect volumes to be down in Q4.
Seth Weber – Banc of America Securities: Right, okay, that's for the segment you're talking about.
Greg Hyland: Segment, yes. Mueller Co. segment, we think that's probably going to be, pretty flat year-over-year. Mueller water products in total, we think we'll see a second half up slightly over second half last year.
Seth Weber – Banc of America Securities: Okay, that makes more sense, thanks for the clarification. That was it, thank you.
Greg Hyland: Thank you.
Operator: Our next question comes from Brent Thielman. Your line is open and please state your company name.
Brent Thielman – D. A. Davidson & Co.: Good morning, D.A. Davidson, my question has actually been answered. Thank you and congratulations.
Greg Hyland: Okay, thanks.
Operator: Our next question comes from Christopher Glynn. Your line is open and please state your company name.
Christopher Glynn – Oppenheimer & Co.: Yes, Chris Glynn, Oppenheimer & Co. Inc. Good morning.
Greg Hyland: Good morning, Chris.
Christopher Glynn – Oppenheimer & Co.: So did you say at Mueller Co. that raw materials are only 11.5% of cost?
Greg Hyland: Yes that's right, raw materials and I think Chris it's important to point this out, and from our discussions in the past. When you look at it, a purchase part are almost 45%, so we make a distinction in our 10-K that hopefully it's not confusing, but when you look at the absolute scraps field that we buy, that's the biggest portion of raw material. You look at raw materials that 10.5, but we have – the purchase parts are another 44.3, 44%. So hopefully that clears it a bit.
Christopher Glynn – Oppenheimer & Co.: Yes, and would there be somewhat analogous inflationary pressures there?
Greg Hyland: Yes, but I don't think, were not seeing that in the same extent we are as scrap steel. Scrap steel has been a real runaway, we are seeing inflationary pressures, because the purchased part, go all the way from fasteners [ph] and to (inaudible). So it's quite a list of items, we are seeing inflation there, but it's nowhere near what we're seeing on scrap steel.
Christopher Glynn – Oppenheimer & Co.: Okay, and then trying to speak a little to the net price cost outlook. Maybe it came out and I missed it, but a lot of numbers going around. Looks like Mueller Co. will be positive on the price cost in the fourth quarter and then U.S. Pipe a little bit tougher. Would you expect the overall company a little bit ahead in the fourth quarter?
Greg Hyland: You know, that right now that’s tough to say based on what we realized in this price increases. But, I think we're in a lot better position in Q4 to be in positive territory than in Q3. Just as we said, we just broke even on Q3, and that was really on the strength of (inaudible), as I mentioned because of inventory terms there that we still have a higher cost of raw materials and inventory now, and we were getting our price increase a little sooner. But we're hopeful that as we look at it today, for the total company that we may be in positive territory pricing on a year over year basis relative to raw material cost.
Christopher Glynn – Oppenheimer & Co.: Okay, that's very helpful, given the difficulties in a truly precise answer, and just going in to the first quarter, it sounds like that’s when you'd expect Anvil (inaudible) to have a little tougher dynamic, do you think you can kind of hold disparity/parity plus in the first quarter.
Greg Hyland: I'll tell you what, it's tough to see, I think we know for sure what's coming through cost a good sold. We have a pretty good idea what's coming though cost of good sold on Anvil. But we are still – obviously first quarter will still be very influenced by what's happening to – continues to happen to cost of scrap fields and what we see in the pricing – the pricing environment, so right now I think that would be difficult for us to predict.
Christopher Glynn – Oppenheimer & Co.: Okay, and then just lastly on Anvil, you've gotten ahead on the price, the cost still coming, maybe you can have a further price increase to stay positive there?
Greg Hyland: Yes, we have been – I'll tell you that group has been very aggressive. We've been leading in their market place and that would certainly be our – that would certainly be an objective that we will hold out there but we have been pretty aggressive, I would say, in Q2 and Q3 on price increases and they’ve – depending on the products we’ve gone up anywhere from 10% to 25% on our products there.
Christopher Glynn – Oppenheimer & Co.: Okay. And the reason you wouldn’t be set is didn’t having that in guide and say, could stay ahead is just because it’s too early to call?
Greg Hyland: Well, early to call and market acceptance and Phil, I think a variety of factors.
Christopher Glynn – Oppenheimer & Co.: Okay. And then finally, that might have been the second time I said that, but I know it’s difficult to isolate the pull forward but comments just around the hydrants business on potential pull forward?
Greg Hyland: Yes, the way I look at hydrant [ph] on a July year-over-year basis, our July orders were down 20%, this July versus July of last year on a dollar amount and this is on a higher dollar. So I would think that we thought – again, it’s difficult to put an exact number, but I would say that probably hydrants were no different than valves. And that I’ll be able to probably answer the question a whole lot better at the end of the fourth quarter.
Christopher Glynn – Oppenheimer & Co.: In higher dollar, you just mean price?
Greg Hyland: Yes. Higher dollar. Yes. Price.
Christopher Glynn – Oppenheimer & Co.: Okay, great. Thanks a lot.
Greg Hyland: Thank you.
Operator: Our next question comes from Dori Konig. Your line is open, and please state your company name.
Dori Konig – Lehman Brothers: Yes, good morning. It’s Dori Konig from Lehman Brothers. Can you kind of just please provide us a little more color around the $5 million cost savings in the Mueller Co. segment and how we should be thinking about the cost seasons in this specific segment as we look into the fourth next year?
Greg Hyland: Sure, I’ll ask Evan to address that.
Evan Hart: Okay. Thanks Greg. In the Mueller Co. segment, the $5.1 million was broken down. About $1.9 million was headcount related, the other components of about $3 million was manufacturing efficiencies, manufacturing efficiencies such as scrap reduction, supply reduction, and other lean manufacturing concepts. We estimate that these introductions are about 70% fixed and 30% variable in nature. So 70% will be ongoing savings as we continue. But once again, those savings are headcount and manufacturing efficiency related.
Greg Hyland: Dori, I think the point – important to point out that as I think as we go forward, essentially as we go through 2009, probably on a year-over-year basis that we’ll see those cost savings on a year-over-year basis gets smaller because it was about at this time last year and those that were on the call remembered it that we started taking some very, very aggressive reactions in taking that cost, taking headcount down. We’re still seeing year-over-year benefit but we expect going forward across the board that that benefit will get smaller.
Dori Konig – Lehman Brothers: Got you. That’s good. That’s very helpful. Just in the free cash flow, you guys generated some free cash flow in the quarter and you guys are sitting at about $142 million in cash. Can you provide us with some color on your comfort level around the debt levels and being that the bond of trading kind of low 80s, is that something that you’re looking as a possibility of reducing?
Greg Hyland: Certainly, we – as I’ve said on our call that we’re looking at not only buyback debts, we think that our price of our stock is certainly a compelling value. But again I would say, I would reemphasize that given the current volatility in the economy that we think we should at this time maintain the flexibility of our current liquidity of our goods. But we certainly, again, when we refinanced our debt in 2007 before the credit tightened and corporate interest cost increased, we got some very favorable turns. But back to your point, we do continually monitor the – where our bonds are trading and that's something that we analyze and it is a distinct possibility that would also be a compelling action for us.
Dori Konig – Lehman Brothers: Great. Just one last question on the working capital front, you guys did a great job managing that in the quarter and bringing it down as the percentage of sales going forward into the fourth quarter and into next year, how do we think about it?
Greg Hyland: Well, in the fourth quarter when you look at the you look at – we had a probably a jump in receivables at the end of the quarter that was due to the timing of certainly the shipments of the orders that – whoever has questioned on the timing of orders we saw the big influx of orders in May. A lot of those ship at the end of the quarter was already in the receivables I think going up. Generally if we look in Q4 and Q1, our receivables come down, so as we look, I think for at least the next quarter or next quarter and a half, that I think that we should see a very positive working capital especially on the receivables side.
Dori Konig – Lehman Brothers: Great. Thank you very much.
Operator: Our next question comes from Mike Schneider. Your line is open and please state your company name.
Mike Schneider – Robert W. Baird: Hi, good morning again. It’s Mike Schneider from Robert W. Baird. Greg, maybe we could just circle back to the net effect of the pre-buy and then your comments about second half revenue for the total company being up year-over-year. It seems like a still a pretty significant statement because it looks like that means fourth quarter revenue is basically going to be flat or maybe slightly down. So despite the impact of the pre-buy, you’ve somewhat raised your expectations for revenue and in particular for the fourth quarter. What is running ahead of your plan in terms of revenue by segment? Do you cause that net positive adjustment?
Greg Hyland: For the second half – well, certainly I think that – Mike, when you look at it on a year-over-year basis we’re expecting to see a nice bump up in total on price. So again that as we said that I expect volume maybe be down but when look at the pricing that I think is in our back log as we talked about we should see a year-over-year basis a very positive contribution on the price side. I think that certainly and again, I don't mind repeating myself, the bump up in April orders will help us. But I think that when we look at where Anvil business is, that we think that there's a reasonable chance that the Anvil failed to be higher, I think that when we look at Mueller and I answered this earlier, I think that we'll be at best flat – that could be down a bit. But if you look at what we have in pricing for pipe, I think that that could be the contributor to get us up where we’re very slightly ahead. So that's what contributes to right now. Our expectations that we may be up slightly, would I be surprised though if at the end of the quarter we were only flat? I wouldn’t be surprised. So I'm edging a little bit that as we look at it right now on the pricing that it’s in back log that I think that that has a reasonable chance to get us to where we might overall see a slightly higher second half and so the revenues from Mueller Water Products than what we saw second half of last year.
Mike Schneider – Robert W. Baird: I guess what I’m asking Greg and this is somewhat convoluted but the effect of the pre-buy was in effect adverse to you and revenue because people are buying products at lower ASPs and as a result Q4 suffers from lower volumes against those higher prices. So despite that kind of adverse shift in your price mix, if you will, you’ve rated your second half revenue expectations and I’m just curious if there’s indeed any product category or element to explain why in this type of market you’re actually raising your revenue expectations?
Greg Hyland: No, Mike, you’re right about certainly about the pre-buy. What I would say what contributes a bit was probably the movement of orders that we would have been typically seen at Mueller, I think in January and shift in Q2 that we saw in April. So that I may have misspoke when I said the pre-buy. I think more of what I was referring to was the April jump because I think the distributors went into the buying period with inventory that were less than adequate because of their under buying or they are under ordering in Q2. However, I will say that, and again, that I think that I want to make sure that I temper when we say that the second half higher now – higher than second half last year it was more a response to what we said – and the question was what we said last conference call that what where we said it was below or flat, I think that now I would say flat to up slightly.
Mike Schneider – Robert W. Baird: Yes. Fair enough. And then just on production level so we understand the under absorption of that year, where do these lines cross on under absorption in Mueller Co. and then in the U.S. Pipe segment, when do you expect production levels to be up or what has to happen for those under absorption dollar amount to actually disappear?
Greg Hyland: On the U.S. Pipe, we’re still facing – we will still be facing a year-over-year under absorption and probably what’s driving that were, and I answered this earlier, is that if you look at the last two quarters that we’ve almost taken our inventory in half – down in half –
Mike Schneider – Robert W. Baird: Right.
Greg Hyland: Cut it by half. So and yet in Q3 we shipped about 2000 more tons in Q3 this year than we did last year. So a lot of that came out of the inventory. We reduced – so we reduced production. That under production goes in the inventory and then will impact us in Q4. Actually, on the Mueller side, we’re hopeful that if our – if we don’t see a big drop off, if the full forward wasn't greater than what we expect, that we may be in positive territory for Mueller primarily on a year-over–year basis primarily because if you'll recall last year, that we were had an aggressive inventory take down across the businesses primarily in Mueller and we had about $5.5 million of under absorption in Q4 last year due to that inventory take down. That's behind us. So we think that there’s a real possibility that we could be in positive territory on the Mueller side in Q4 but I think we’re still a couple of quarters away in U.S. Pipe.
Mike Schneider – Robert W. Baird: Great. Congratulations to you guys. Sure, this hasn't been fun.
Greg Hyland: Well with that, we certainly appreciate everyone joining us for the call and your questions and your continued interest in Mueller Water Products. And again, thanks for joining us today.
Operator: That thus concludes today's conference. Thank you all for participating.